Operator: Good morning. My name is Darla, and I will be your conference operator today. At this time, I’d like to welcome everyone to the New Residential Fourth Quarter and Full Year 2017 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now like to turn the conference over to Mandy Cheuk, from New Residential. Please go ahead.
Mandy Cheuk: Thank you, Darla, and good morning, everyone. I would like to welcome you today to New Residential’s fourth quarter and full year 2017 earnings call. Joining me here today are Michael Nierenberg, our CEO; Nick Santoro, our CFO; and Jonathan Brown, our CAO. Throughout the call, we’re going to reference earnings supplement that was posted to the New Residential website this morning. If you have not already done so, I would suggest that you download it now. Before I turn the call over to Michael, I would like to point out that certain statements made today will be forward-looking statements. These statements by their nature are uncertain and may differ materially from actual results. I encourage you to review the disclaimers in our press release and earnings supplement regarding forward-looking statements and to review the risk factors contained in our annual and quarterly reports filed with the SEC. In addition, we’ll be discussing some non-GAAP financial measures during today’s call. A reconciliation of these measures to the most directly comparable GAAP measures can be found in our earnings supplement. And now, I would like to turn the call over to Michael.
Michael Nierenberg: Thanks, Mandy. Good morning, everyone, and thanks for joining our call this morning. Obviously, some exciting news down in Dallas, so we will get through our call, I know the Nationstar guys are doing their call at the same time. So, as we look back on 2017 and the fourth quarter, on all fronts we had a very good year. All of our segments performed extremely well. The way that we view the company it’s a very unique one, which is different than other mortgage REITs and quite frankly virtually impossible to recreate in today’s environment. We put the company in what we believe to be a great position as the new tax bill and other initiatives from the administration would likely cause the Fed to raise rates three to four times this year and lead to higher rates. Our balance sheet contains $500 billion plus of mortgage servicing rights, one of the few investments which will increase in value as a result of higher rates. If you couple that with our 150 billion of call rights our portfolios make us very excited for the future. The recent acquisition of Shellpoint in the fourth quarter provides us with additional optionality around our portfolios, including recapturing our MSR portfolios, as well as the potential growth of our servicing business. I mention this as the current investing climate is not great. The abundance of capital is causing most asset classes to be fully priced. While saying that, we have a portfolio that should continue to perform well for our shareholders, our current liquidity of 500 million plus today puts us in a great position to take advantage of any opportunities that come our way. I’ll now refer to our supplement, which has been posted online. So, I’m now going to begin on Page 2. The beginning part of our presentation is a little bit of a highlight reel, then we’ll get into some of the numbers and then open up the call for questions. When you look at New Residential today, again $530 billion UPB are mortgage servicing rights. One of the few asset classes that will rise in it, go up in a rising rate environment. We also have 145 billion UPB of call rights. We try to target mid-teens type returns on all of our investments, although as I pointed out earlier it is a little bit difficult right now as asset classes are fully priced. When we think about interest rate risk, we actively manage our portfolio to help protect against rate changes and with the Fed expected to raise rates again, I do believe we are in a great position as we being 2018. For 2017, total return was 26%, we increased our dividend two times and when we think about the opportunities, while they may not be apparent today in all asset classes. The housing market is a very large one, $25 trillion. When you look at the unsecured consumer debt in the U.S. it is $2.5 trillion. So, again while there may not be something exciting to do today, we believe we are well positioned to take advantage of any market dislocations or things that may come our way. On Page 3, we try to show 2017, our activity and just to give you a sense, we deployed $3.3 billion of capital in 2017. $1.6 billion was related to servicing related investments. Little north of $700 million was around our bond portfolios in RMBS and then we deployed 917 million in residential and consumer loans. When we look at our portfolio, we continue to grow it, again we are 530 billion-ish right now. We have acquired a lot of servicing in 2017 and then when you look at our call strategy, in 2017, we called $4.7 billion of deals, which was our highest amount of deals we called since we began our call strategy. Bottom right side of the page, 26% total return in 2017, 24% return in equity, 17% increase in book value and again two dividend increases. Page 4, this talks about, since we began to grow the company in 2013, 2014, there is a couple of highlights. One is, in 2014, we completed a refinancing on our SpringCastle portfolio that was $2.6 billion, just to give you a sense today, that portfolio is about $1. 3 billion that has been a great investment for the company. 2015, we acquired HLSS for $1.4 billion and in conjunction with doing that we acquired call rights of $145 billion from Ocwen. 2016, we grew our MSR portfolio by $170 billion and we became fully licensed in all 50 states by Fannie and Freddie, and in 2017 we agreed to acquired Shellpoint in the fourth quarter. We acquired a lot of mortgage servicing rights from a number of different counter parties and then we also made a strategic investment with three other partners to acquire up to $5 billion of consumer loans, as well as have a piece of equity for the company of Prosper. Page 5 is really our portfolio and these are net equity amounts. So, if you look on the right side of the Page, our MSR is both excess and full. We have a net equity investment as of 12/31/2017 of $2.3 billion. Our Servicer Advance portfolio of current equity is $159 million, again that will continue to come down over time as Servicer Advances continue to get reduced by both Ocwen and Nationstar. Our residential securities and call rights, we have $1.4 billion of net equity. What we did on this slide, this time as we broke-out our residential and consumer loan exposure, residential loans $524 million of net equity, consumer loans $129 million, and then our place holder of cash as of 12/31/2017 $296 million. Financial performance for 2017 fourth quarter, GAAP net income $288 million, or $0.93 per diluted share. Core earnings of $189 million, or $0.61 per diluted share, and we continue to pay our dividend of $0.50 or $154 million. Full-year of 2017 GAAP net income $958 million or $3.15 per diluted share. Core earnings of $861 million were $2.83 per diluted share. We pay dividends of $609 million, which correlated to $1.98 per diluted share. Page 7, fourth quarter, as well as subsequent highlights, we continue to acquire MSRs both during the fourth quarter and into the first quarter of 2018. As you know, we announced the acquisition of Shellpoint, part of that transaction was we acquired $15 billion UPB of mortgage servicing rights, and then we also acquired 17 billion of mortgage servicing rights from other counter parties. Just last month, we paid Ocwen, a restructuring fee of $280 million to obtain the remaining rights to MSRs on our legacy non-agency portfolio that totals $87 billion. We did this while we wait to transfer the PSAs into our name as we work with trustees rating agencies and others. This past week and as well as in January, we priced two non-agency mortgage securitizations backed by mortgage servicing rights. Total cost of funds on those two transactions on a weighted basis was 3.6%. that was a great result for the company. Again, fixed rate, term financing around our MSR portfolios. As we look at the non-agency business, we continue to call non-agency deals. We called 36 non-agency deals during the quarter. We completed a 727 million non-agency securitization in January and then we also purchased $880 million of non-agency RMBS bringing our net equity as of Q4 2017 to $1.4 billion. I pointed out earlier, advance balances continue to come down on servicer advances, only 159 million of equity. If you go back to 2015 when we acquired HLSS, the combination between Ocwen and Nationstar at servicer advances was about $8.3 billion. It’s currently now into about $4 billion. And that’s really indicative of a home-owner that’s healing a great job done by our servicer counterparties and truly the seasoning of the portfolio. Shellpoint again, we announced in the fourth quarter, our consumer loan investments continue to perform extremely well. Prosper is approximately at 20% return. SpringCastle, again that’s a legacy investment it’s about a 90% IRR, and then on the residential loans what we typically do there, unless there is some higher coupon loans or residential loan portfolio, we will continue to grow as a result of our call activities, and then early in Jan we raised 482 million of equity to help fund investments. Page 8, it’s just a quick slide, most of you have seen this already on Shellpoint. We re-took our Shellpoint in November for $190 million. The way to think about this is, we have - one, Shellpoint has an origination business, which gives us optionality on our recapture portfolios. I pointed out, we also acquired $15 billion worth of MSRs, and then there is a lot of other things that could come out of this. Shellpoint is rated by S&P Moody's and Fitch, they’re approved by Fannie, Freddie & Ginnie. We expect as a result of the Nationstar announcement to be able to fully licensed by Ginnie Mae shortly. So, very excited about that. That could give us a foray into acquiring Ginnie Mae MSRs, and then again other optionality around that. As far as our portfolios, I’m not going to spend a lot of time going through the slides and our portfolios. I think, in-light of the announcement by Nationstar, what I’ll do is, I’ll turn it back to the operator, we’ll open up for questions and then go from there. Operator?
Operator: [Operator Instructions] Your first question is from Jessica Levi-Ribner with B. Riley FBR.
Jessica Levi-Ribner: Hi good morning. Thanks for taking my question. Can you talk a little bit about the economics that you've gotten on the call rights and the loan securitizations and what you purchased the $882 million of Non-Agencies at?
Michael Nierenberg: Sure. The call rights, the way to think about that is, in the fourth quarter, we purchased approximately give or take $800 million worth of nonagency MBS at approximately $0.70. The way that we think about it, we have accretion on the underlying bond portfolio and we do securitization, then we mark down our delinquent loans or call it non-performing loans and the average gains have been something anywhere from 1.5 to 2 points. It depends on per deal, certain deals that have higher delinquencies, you're going to see lower economics, other deals that have lower delinquencies you're going to see higher economics. As we go into a higher rate environment, which we are to give you a sense the weighted average coupon on our underlying calls is approximately 5%. So, just to kind of frame that for everybody, so we're still very optimistic on our call business, obviously higher rates could lead into economics, but higher rates will likely lead to lower delinquencies, so your securitization gains may be a higher.
Jessica Levi-Ribner: Okay. And the execution on the January securitization, do you know what you netted yet?
Michael Nierenberg: I will tell you at the end of the quarter. You should assume it is something anywhere from 1.5 to 2 points.
Jessica Levi-Ribner: Okay. In terms of the Nationstar announcement this morning, can we expect any immediate impact beyond the Ginnies?
Michael Nierenberg: No. If you think about our business, one of the things that how we’ve tried to position the company over the course of the past few years is to be a real capital provider to the servicing industry have a number of different counterparties be very supportive of them, whether be Ocwen, Walter, and Nationstar PHH, and I think we've demonstrated that. Obviously, Nationstar will have a new owner as they go forward, but they are still a great partner. They service $300 billion of mortgage loans for us, whether that be subservice or where we own the excess. So, I would anticipate them continuing to be a good partner of ours as we go forward.
Jessica Levi-Ribner: Okay. And then one last one just around kind of acquisition opportunities that you're seeing. I mean, you have a lot of dry powder on the balance sheet today, what can we expect? And I know - and I say that knowing that the environment is tough and you've made a lot of comments around that, but is there anything kind of on the horizon?
Michael Nierenberg: We always look for, what I would call strategic investments or strategic acquisitions that will benefit our shareholders. We continue to rate the fields for corn and we are out there in the markets and looking at everything. I mean there is nothing specific I can point today, but where we sit as a company and our success over the past few years, I would expect something to happen at some point, I just don't know when. The markets will, higher rates will likely lead to some kind of dislocation in the markets. You see the volatility in the stock market, you see rates rising. I do believe as we go through this year, if interest rates continue to - their upward trajectory, you are going to see more consolidation around the mortgage origination business, as origination volumes come down.
Jessica Levi-Ribner: Okay, fair enough. Thank you.
Michael Nierenberg: Thanks Jess.
Operator: [Operator Instructions] Your next question is from Bose George with KBW.
Eric Hagen: Thanks. Good morning. This is Eric on for Bose.
Michael Nierenberg: Hi Eric.
Eric Hagen: Hi, good morning. Forgive me if you have said this, but can you just tell us the amount of core earnings from the quarter that reflects the call rates executed during 4Q?
Michael Nierenberg: Believe it’s $0.04.
Eric Hagen: $0.04, great, thanks. And then just given the move in interest rates that we’ve seen so far this year, can you just give us a sense for the valuation changes you’ve seen on MSRs, and then if you could just comment maybe across the portfolio and mark-to-market changes that would be really helpful?
Michael Nierenberg: Sure. For the fourth quarter, our full MSR portfolio was up little under $92 million, and our excess MSR portfolio was up a little under of $40 million. So, when you look at the combination of those two it’s $0.43 in GAAP earnings.
Eric Hagen: Great. Maybe you can comment just on quarter to date, sorry so far in 2018.
Michael Nierenberg: I can't comment quarter to date yet. I would say they are up marginally, but we will be able to give you more color. What you are seeing on the MSR, the valuations in MSRs is that some of the banks are in buying cleaner MSRs. So, you're seeing valuations actually increase and I would expect that to continue not only through the first quarter, but throughout the course of the year to the extent that the 10-year Treasury continues to rise. So, I think the way that we’re currently positioned and the way that I wanted to frame our call today, yes, I think the company and the team has done a great job over the course of the past few years, but this is not about a highlight reel. This is about 2018 and going forward, and how we position the company. And if you take a step back, $530 billion of MSRs corelated to a total investment amount of something between $4.5 billion and $5 billion and our call rights, coupled out with $500 million of liquidity we’re in a great, great position to continue to execute around our strategies on our existing portfolios, without actually having a go and deploy a ton of capital that’s today. While saying that and going back to Jess’ question, we’re always looking a different things from an investment perspective, and as everybody knows, our portfolios do pay down over time. So, we need to continue to again deploy capital, but right now we’re in no rush to deploy capital as we look for opportunities that we think are going to be creative for shareholders.
Eric Hagen: Great. Thanks for the comments Mike.
Michael Nierenberg: Thanks.
Operator: And your next question is from Ken Bruce with Bank of America.
Ken Bruce: Thanks, good morning.
Michael Nierenberg: Hi, Ken.
Ken Bruce: Hi. Couple of questions. First, you kind of talked in, or I guess, a righteous over the past few quarters we have been talking about the size of the overall nonagency servicing markets and I guess I’m always a little surprised and you keep pulling in large transactions, I guess even in the first quarter, maybe just kind of scope out how much of the addressable market is still available to you? I’m always a little surprised as to where the servicing is coming from?
Michael Nierenberg: Specifically, Ken, on the nonagency side?
Ken Bruce: Yes, on the nonagency side.
Michael Nierenberg: I think the way that we view it is, we have, I mean, I think the legacy nonagency market is probably something between $450 billion and $500 billion of outstandings. We control, if you think about it this way, with our call rights a third of that market. The banks in general as you probably know have cleaned up most of their legacy exposure around mortgage servicing rights. I think any, I think the ability to acquire legacy nonagency PLS is going to be much lower today just because there’s not that much out there. There will be some as I think as the banks continue to settle with some of the regulators around or some of the settlements that were agreed to a few years ago, and the banks get out of some of the legacy servicing, but I don't foresee a ton of it coming our way right now.
Ken Bruce: Okay. So, it’s really just more bank holding on to what they’ve got versus their - versus anything else?
Michael Nierenberg: Yes, I think a bunch of it’s still wrapped up in settlements. You know when there are certain services that - there are certain approved improved servicers by the different regulatory bodies that are able to service some of the stuff and even in Shellpoint, Shellpoint services portfolios for some of the banks. So, when you think about Shellpoint to the extent there are some of these portfolios and they are approved by a number of different banks and regulators. If anything does come out, I would anticipate those folks being in great position to be able to grow that.
Ken Bruce: All right. And is that one of the areas I mean you’ve referenced the margins and squeeze or returns have been squeezed a bit, is that included in the nonagency servicing area?
Michael Nierenberg: You know, the kind of, I will call it the less clean servicing, banks don't really want to be in less clean servicing, banks. Banks want to acquire customers as do we. When you think about our customer profile we have something between 2.5 and 3 million customers, but overall spreads, whether it be nonagency mortgage funds, whether it be residential mortgage loans, whether it be non-performing loans that buy homes everything is extremely well bid because it’s just a very large abundance of capital out there. So, the way that we’re approaching it is, we say okay, our portfolio continues to perform extremely well. We are in a higher rate environment, our MSR portfolios should do great. Our call business with the weighted average coupon of 5% should continue to do better, although you could see margin squeeze as rates rise, particularly in the front-end. So, everything is well bid, but we’re going to be patient here and try to be very strategic around how we deploy capital. But there is nothing that’s that interesting right now.
Ken Bruce: Right. And you had mentioned that you anticipate some more consolidation to occur in the primary market, just given the rates up and originators being squeezed. I mean, how active do you want to be in being a catalyst for that consolidation, and what strategic benefits do you think that New Residential games from stepping into an operating role as it has to Shellpoint?
Michael Nierenberg: What I would say is, I think it’s likely will be in the middle of more consolidation. When I think about the operating business, the operating business is hard, I mean it’s been very hard in the past number of years. I do think the winds are shifting a bit and to the extent that we could be a great partner of somebody and it makes sense for either us, or obviously for both parties. I would intend and I believe that we will be part of something there. While saying that, you just can't anticipate because you don't know what’s going to happen, but I truly believe that you're going to see a lot of consolidation, a lot more consolidation that will occur in 2018 as the industry gets cleaned out.
Ken Bruce: Okay, great. Thank you for your comments, appreciate it Mike.
Michael Nierenberg: Thanks Ken.
Operator: Thank you. I would now like to turn the call back over to Michael Nierenberg for any closing remarks.
Michael Nierenberg: Well, thanks for all your support. Obviously, 2017 was a good year. We are not about to highlight here. As we look forward, we will do all we can to continue to put up good returns for shareholders. And again, we appreciate your support and have a great day. Thanks.
Operator: Thank you. This concludes new residential fourth quarter and full-year 2017 earnings conference call. You may now disconnect.